Operator: Ladies and gentlemen, thank you for standing by, and welcome to Seadrill's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I will now hand the call over to Kevin Smith, Vice President of Corporate Finance and Investor Relations. Sir, please go ahead.
Kevin Smith: Welcome to Seadrill's Third Quarter 2025 Earnings Call. I'm Kevin Smith, Vice President of Corporate Finance and Investor Relations. And I'm joined today by Simon Johnson, President and Chief Executive Officer; Samir Ali, Executive Vice President and Chief Commercial Officer; and Grant Creed, Executive Vice President and Chief Financial Officer. Our call will include forward-looking statements that involve risks and uncertainty. Actual results may differ materially. No one should assume these forward-looking statements remain valid later in the quarter or year, and we assume no obligation to update them, except as required by securities laws. Our filings with the U.S. Securities and Exchange Commission provide a more detailed discussion of our forward-looking statements and the risk factors affecting our business. During the call, we will also reference non-GAAP measures. Our earnings release furnished to the SEC and available on our website includes reconciliations with the nearest corresponding GAAP measures. Our use of the term EBITDA on today's call corresponds with the term adjusted EBITDA as defined in our earnings release. I'll now turn the call over to Simon.
Simon Johnson: Thanks, Kevin. Hello, and thank you for joining us for today's call. I'll begin with some highlights from this quarter, which demonstrate Seadrill's continued execution of our strategy to build backlog coverage through 2026, maximize utilization of our high-specification fleet and deliver the operational excellence that drives continuity and long-lasting relationships built on trust and performance. Following my remarks, Samir will provide detail on our contract awards and market outlook. Grant will then review third quarter financial results and provide updated guidance for 2025. As we navigate a period of fluctuating demand, one aspect of our commercial strategy remains clear: Maximize shareholder value by minimizing costly gaps between contracts. Since our last update, we've added over $300 million to our backlog, securing new contracts across 5 rigs. In what is a very competitive market, our collaborative approach with customers and the exceptional performance by our crews have enabled us to maintain our competitive edge. In Angola, securing work for the 3 rigs in the Sonadrill joint venture was a key strategic priority, enhancing the longevity of the partnership and reaffirming our position as the #1 drillship operator in Angola. The Sonangol Libongos commenced its new program in August, keeping the rig committed into early 2027 and extending the relationship with our client into its eighth year. This show of faith by the customer reflects the results delivered by our offshore crews and onshore teams day after day. The Libongos has been recognized as the Seadrill rig of the quarter 8x more than any other drillship in our fleet. The Sonangol Quenguela, which has worked for TotalEnergies since its maiden contract in 2022, has also won further work on a direct continuation basis and began its new program in early October. The Quenguela was awarded TotalEnergies Rig of the Year for 2024 and has sustained its exceptional operational performance through 2025. Finally, the Seadrill owned West Gemini recently completed its special periodic survey and is expected to commence a well-based contract with Sonangol E&P in the next few months. All 3 rigs operated through the Sonadrill joint venture have delivered exceptional performance year-to-date, each achieving near perfect technical uptime in excess of 99.7%. This accomplishment reflects our unwavering commitment to deliver industry-leading operational performance. We sincerely thank our joint venture partner and valued customers for entrusting Seadrill with the management and technical delivery of Sonadrill's operations. Our teams have demonstrated a commitment to developing local talent, world-class performance, and crucially staying at the top of the performance curve. We are proud to contribute to the prosperity of Angola, its communities and stakeholders, building a lasting legacy of responsible development and shared success. In the U.S. Gulf, the West Vela and Sevan Louisiana each secured new programs in direct continuation, adding a combined firm term of 195 days. The West Vela was awarded a 1-well contract with Walter Oil & Gas, which we anticipate will commence in March 2026. The rig will then return to work for Talos to drill an appraisal well following the discovery drilled by West Vela in August this year. The West Vela demonstrates our ability to leverage team expertise and performance excellence. 25% of the crew have been with the rig since it left the shipyard in 2013, and it was among the first rigs in our fleet to be equipped with managed pressure drilling. A decade of shared experience in technology development allows us to drill and complete wells that were previously considered too challenging. The West Vela remains one of, if not the best performing rig in the U.S. Gulf, routinely executing programs well ahead of schedule and under budget. The Sevan Louisiana has secured a new contract with Walter Oil & Gas, which is expected to keep the rig working for over 2 months following the completion of its current assignment with Murphy Oil. We're grateful to Walter Oil & Gas for their continued partnership and confidence in our crews and assets. These new contracts reflect the strong collaboration we've built over time. Also worth noting, the Sevan Louisiana is expected to finish its current campaign with Murphy Oil ahead of schedule. We appreciate the faith Murphy has placed in Seadrill as a new customer and look forward to building on our partnership as we support their operations going forward. We continue to set the standard in collaboration and innovation. Our recent partnership with Trendsetter on well intervention activities in the U.S. Gulf is our most recent example. We're preparing to install Trendsetter's equipment on the Sevan Louisiana, making an already distinctive rig in both design and function even more capable. This upgrade gives the rig flexible operating modes across both shallow and deepwater environments, opening new markets and enhancing its commercial appeal. Staying in the U.S. Gulf, the West Neptune commenced its first well with its newly installed MPD system in October with LLOG. The rig system includes the state-of-the-art Integrated Riser Joint that is set to be the new standard in safer, more efficient and more reliable MPD operations. The West Polaris is also equipped with this system and has successfully delivered 2 MPD wells for Petrobras so far this year. By executing wells safely, ahead of schedule, and under budget, we built a reputation as a trusted offshore partner in the Golden Triangle and in key markets around the world. Additionally, we continue to actively increase the capabilities of our rigs through time with the addition of advanced technologies such as MPD. Turning to the market. We continue to see a constructive pace of contracting and an uptick in global tendering activity, building momentum for a market recovery as we move from 2026 into 2027. Seadrill has consistently highlighted the industry's underinvestment in offshore and the need for renewed sustained spending to offset production declines and meet future energy demand. Our view has been validated. Oil majors are calling for renewed focus on exploration and investment to avoid a future supply crunch, and there is a growing consensus that U.S. shale production has plateaued. At a recent conference, ConocoPhillips emphasized the need to return to large-scale projects and exploration. Notwithstanding the recent increases in production, Saudi Aramco warned of a looming global oil shortage due to a decade of underinvestment, calling for renewed spending on exploration and production. The Norwegian Continental Shelf, Equinor plans to drill 175 exploration wells by 2030. Var Energi is targeting an average 15 exploration wells annually over the next 4 years, and Aker BP intends to drill 10 to 15 exploration wells per year going forward. We agree with Oxy CEO, Vicki Hollub, who said, "When you have the best discovery that has been made in the past couple of decades, i.e., Guyana, producing only enough to cover 1/3 of the demand in 1 year, that is a big issue". The renewed focus on deepwater is becoming clear as the industry faces the realities of prolonged underinvestment and the constraints of short-cycle supply. Capital is flowing back into offshore projects with a steady pace of new FIDs while exploration activity is gaining pace across many geographies and geologies. At the same time, natural gas demand continues to climb, driven by emerging uses such as data centers and the need to support an overstretched power grid. Deepwater is once again at the center of meeting the world's energy needs. With that, I'll turn the call over to Samir.
Samir Ali: Thanks, Simon, and good day, everyone. To recap, since our last earnings release, we've added over $300 million in backlog, bringing Seadrill's total contracted backlog to approximately $2.5 billion. We made strong commercial progress, securing new work across 5 rigs, eliminating idle time while focusing on cash generation. Starting with Angola, all 3 rigs in the Sonadrill joint venture have been extended. The Sonangol Quenguela has been awarded a 210-day program with TotalEnergies, which will keep the rig working into mid-2026. We remain confident that the rig will secure more work in the near future. The Sonangol Libongos began a 525-day program in August, filling its schedule into 2027. The West Gemini will start a 280-day contract in the next 1 to 2 months, following the completion of its special periodic survey during the third quarter. Combined, these 3 awards solidify our leading position in Angola. In the U.S. Gulf, 2 of our 3 rigs secured new contracts in direct continuation of existing operations. The West Vela was awarded a contract with Walter Oil & Gas. Drilling is expected to commence in March 2026 with an estimated duration of 65 days and a total contract value of $28 million, excluding MPD. Following this program, the rig will return to work for Talos to drill an appraisal well. The Sevan Louisiana has secured a short program also with Walter Oil & Gas, expected to last around 70 days, starting immediately after it concludes the current work with Murphy. Collectively, these awards contribute over 3 years of backlog, reinforcing the effectiveness of our contracting strategy and the robustness of our customer relationships. Our track record demonstrates an ability to attract new clients while consistently securing additional work with existing partners. Turning to the market and to build on Simon's remarks, we continue to see constructive contracting momentum and an uptick in global tendering activity, supporting a broad-based recovery. These dynamics lead us to believe that there will be an increase in contracted utilization and meaningful day rate progression as we move from 2026 into 2027. The International Energy Agency's latest report reinforces what we're hearing in customer discussions. It highlights that nearly 90% of upstream investment since 2019 has gone towards offsetting production declines rather than adding new capacity. Conventional oilfields now account for only 77% of global oil output, down from 97% in 2000, emphasizing the need for new offshore projects. At the same time, the IEA has halved its forecast for U.S. renewable energy growth by 2030, which signals that hydrocarbons will remain a central part of global energy supply for longer than previously expected. Combined with plateaued shale production, we believe the stage is set for a renewed investment in deepwater development. We're seeing this recognition translate into real investment. Operators are sanctioning major offshore projects with attractive economics and robust breakeven profiles. Recent final investment decisions include ExxonMobil's $6.8 billion Hammerhead development in Guyana, supporting continued drillship demand in that basin, BP's $5 billion Tiber-Guadalupe project in the U.S. Gulf with 6 development wells and additional phases under review, Eni's $7.2 billion Coral Norte development and TotalEnergies' recently lifting force majeure on its $20 billion greenfield LNG project, both in Mozambique. Beyond development activity, exploration momentum is also building. In Brazil, Petrobras secured approval for its first equatorial margin well since 2013, part of a plan for 15 wells and $3 billion investment through 2029. Also in Brazil, Equinor has expanded its pre-salt position through its acquisition of 2 new blocks, highlighting its continued commitment to the pre-salt sector and renewed global interest in Brazil's offshore resources, spurred by BP's recent Bumerangue discovery. In Indonesia, Eni and PETRONAS have created a JV that plans to drill 15 exploration wells and invest over $15 billion in the region over the next 5 years. Earlier this week, Shell finalized an agreement to return to Angola following a 25-year absence, securing exploration rights for 4 new deepwater blocks and investing $1 billion in the project. More generally, Africa and Asia remain the leading sources of incremental demand. Multiple tenders continue to progress, and we remain optimistic that these will translate into rig commitments in late 2026 and 2027. In addition to activity elsewhere, it is our view that Africa and Asia will be the key geographies, which dictate the balance of supply and demand over the next 18 months. In summary, the offshore industry is at an inflection point. After nearly a decade of underinvestment, the market is refocusing on offshore as a critical source of future supply, and Seadrill is strategically positioned to capture value from that momentum. With that, I'll hand it over to Grant.
Grant Creed: Thanks, Samir. I'll now walk through our third quarter financial results before providing an update on the remainder of the calendar year. Total operating revenues for the third quarter were $363 million, representing a sequential decrease of $14 million. Contract drilling revenues declined $8 million to $280 million. The decrease is attributable to fewer operating days for West Vela and Sevan Louisiana and lower economic utilization compared to the prior quarter. Management contract revenues decreased $2 million quarter-on-quarter to $63 million as the prior quarter included a retrospective catch-up for year-to-date inflationary increases to the daily management fee Seadrill earns for providing management, operational and technical support to Sonadrill. Reimbursable revenues decreased $5 million to $11 million, offset by a corresponding decrease in reimbursable expenses. Total operating expenses for the third quarter were $337 million, down 9% from the prior quarter. The decrease mostly relates to a $44 million reduction in management contract expenses as the prior quarter included an accrual for historic fees payable pertaining to the Sonadrill joint venture. This was partially offset by an $11 million increase in vessel and rig operating expenses, largely driven by the timing of repairs and maintenance spend. Adjusted EBITDA was $86 million, a sequential decrease of $20 million from the prior quarter. Moving to the balance sheet and cash flow statement. We continue to maintain a robust balance sheet with total liquidity of approximately $600 million. At the end of the third quarter, gross principal debt remained at $625 million with maturities extending through 2030. Total cash increased by $9 million to $428 million, including $26 million of restricted cash. Net cash flow from operations during the third quarter was $28 million and includes $69 million in additions to long-term maintenance. Payments for capital additions captured within investing activities were $19 million. As mentioned earlier, the West Gemini completed its SPS in September with the associated cash outflows taking place in the third quarter. Moving on to our outlook for the remainder of the current year. We are narrowing the adjusted EBITDA range to $330 million to $360 million, and that's based on an updated range for operating revenues of $1.36 billion to $1.39 billion, and that excludes $50 million of reimbursable revenues. Adjusted EBITDA guidance includes a noncash net expense of $33 million related to the amortization of mobilization costs and revenues, of which $24 million has been recognized through September 30. Full year capital expenditure guidance range is narrowed to $280 million to $300 million, and we expect capital expenditure and long-term maintenance to trend lower in 2026. I'll now hand the call back to Simon for his closing remarks.
Simon Johnson: Thank you, Grant. In summary, we continue to execute our commercial strategy to build backlog coverage through 2026 and minimize our exposure to contract gaps. We're encouraged by signs that a market recovery is coming into view. We have consistently highlighted the industry's failure to replace deepwater reserves, a view that E&P supermajors are now acknowledging. A shift in capital allocated towards offshore drilling is well underway with a steady progression of contract awards and an increase in final investment decisions on major offshore projects. At the same time, a renewed focus on energy security amid geopolitical instability further reinforces the strategic importance of offshore resources. Seadrill is exceptionally well positioned to support long-term demand for energy services and create sustainable shareholder value. We believe that Seadrill represents compelling value, a view supported by the sell-side analyst community. Seadrill holds the highest proportion of buyer recommendations among the 4 largest U.S. listed offshore drillers, reflecting broad confidence in our long-term value creation potential. I'll now hand the call over for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Eddie Kim from Barclays.
Edward Kim: Just wanted to ask about what you're seeing in terms of leading-edge day rates within the Golden Triangle. The 2 short-term contracts you just announced for the Vela suggest pricing is fairly resilient in that region. But you previously highlighted an expectation of some lower data points in West Africa. And I think investors are sort of bracing for maybe some other negative data points in Brazil here on some upcoming contract announcements. So first, do you expect maybe some negative data points coming out of Brazil? And second, is that sort of a fair characterization of how you're seeing things right now, so maybe some softness in West Africa and Brazil, but resilient in the U.S. Gulf. Any thoughts there would be great.
Samir Ali: Sure. So Eddie, I'd say it depends what market you're in. I'd say in the U.S. Gulf, you've seen what we think we can get, and we've shown that we're able to price at those levels. And you can do the math on the Vela contracts. It gets us in a pretty good spot. If I go to the other places of the Golden Triangle, I think in the near term, there is potentially some weakness, but it's not dramatic, right? So you're going to see things in those high 3s, low 4s, I think kind of it's generally where we're tracking across the Golden Triangle, but it's really hard to pin down exactly where. But I think for us, we've tried to be very conscious about filling those gaps and focusing on getting near-term work, and we've shown an ability to get those at pretty good rates here in the U.S. Gulf.
Edward Kim: And then my follow-up is just on your medium- to longer-term outlook, which is very constructive. One of the things you said in prepared remarks was that you expect Africa and Asia to be the leading sources of incremental demand. We've heard from some of your peers about incremental demand in Africa, of course, but less so about Asia. So could you maybe talk about which countries or which operators you're most excited about in Asia as we look forward over the next 12 to 18 months?
Samir Ali: Sure. So in Asia, I'd say, you've got programs in India, Malaysia, Indonesia that are all starting to kind of bubble up to the surface right now. The operators are E&I, ONDC, PTTEP. So you've got to a -- it's not just one operator in one geography. It is kind of spread across different parts of Asia. So for us, we are very optimistic about that market in the near term. And candidly, for us, we've got the West Capella sitting out there that's a dual activity MPD capable rig. So we think it's very well positioned in that market.
Operator: Our next question comes from the line of Fredrik Stene from Clarksons Securities.
Fredrik Stene: Congratulations on the new contracts. I wanted to touch specifically on the Capella and the Carina. And Samir, you mentioned it briefly now in the end there for the Capella. But clearly, Capella idle already. Carina is rolling off early 2026. What are your current thoughts about potential downtime, et cetera, next year for those 2 rigs specifically?
Simon Johnson: Well, perhaps I can kick off first, Fredrik, and then I'll pass to Samir for a bit of color. But I think as Samir foreshadowed in the previous question, this team has done a really good job in incrementally adding term through time. And we do, in fact, have these 3 rigs that have first half exposure, but we are continuing to make progress on the contracting front. And when we have news on that, we can share that with you. But it's really the first half of next year, I think, where we have concern, and we expect that the market will start tightening in the second half. And we've done a good job, we believe, minimizing our exposure to that weak period of the market. But Samir, perhaps you can add some color.
Samir Ali: Sure. So back to -- if I look at the South Asia region, the Carina or the Capella, beg your pardon is well placed within there to MPD dual activity. So optimistic that we'll be able to announce something here shortly, but nothing to announce today. If you look at the Carina, beg your pardon, we have the ability to keep her working in Brazil or we can bid her outside, and we have continued to bid that rig outside of Brazil as well. That is a true seventh-generation asset. It's got MPD. We could easily retrofit with a second BOP. So that rig, it comes off early next year. We've got the abilities to potentially keep her in Brazil or we can move that rig to a different region as well. So for us, we have some flexibility with the Carina as we look forward.
Fredrik Stene: Just a follow-up on that, Samir. Under the assumption that you potentially win something in Brazil since there are a couple of unresolved tenders there going on already. I think they call for late '26, early 2027 start-ups. In the case that you would get an award from something there, are there any extension options on the Carina under the current contract that would limit downtime in between? Because Petrobras tend to have certain clauses that can make contract extensions possible.
Samir Ali: Yes. So what I'd say is, if we're not able to close that gap, it does make potential work in '27 in Brazil less attractive from our perspective. But it will be challenging to close that gap. 2026, as we mentioned, is going to be -- there is white space in the calendar, and it is a competitive market in Brazil. So it will be a challenge, but I'd come back to if we can't close that gap, it does make it less attractive for us to stay in Brazil.
Operator: Our next question comes from the line of Ben Sommers from BTIG.
Benjamin Sommers: So first, to touch on the Capella a little bit more. Just curious kind of how the cost deceleration on this rig has gone over the past few quarters. And then given the line of sight of potential work, kind of what would reactivation cost look like for that rig?
Grant Creed: Look, on the cost side, we haven't been too explicit on that. Bearing in mind, it's in active tenders. I'd say we have said, it's stacked. It's more than the -- we've said the Eclipse, for example, is the $7,000 to $8,000 a day range. That's one bookend. I'd say it's more than that, keeping it live for tendering, but less than the typical warm stack that people talk about, the $80,000 a day, somewhere in between. On reactivation costs, it really depends on the opportunity we're hunting for. So it does really vary case by case. So there's no one golden rule. And so I'm kind of reluctant to throw numbers out there. If you think of it as a range somewhere between -- it's going to be more than 20, less than 50, depending on what opportunity we're reactivating for.
Benjamin Sommers: And then as I look kind of in the back half of '26, I know we have some availabilities in the Gulf and elsewhere. I guess kind of on the day rate comments made earlier, I guess, where do you see timing on a potential kind of day rate inflection point here when we can really start to see some notable momentum in leading-edge rates?
Samir Ali: Yes. So I think our thesis is that second half of 2026 and into '27 is kind of where we start seeing the inflection in the market. You'll see utilization pick up first, and I think day rates will be a fast follower after that. So if our thesis is as we enter next year -- or sorry, enter 2027, we should start seeing that momentum build.
Operator: Our next question comes from the line of Doug Becker from Capital One.
Doug Becker: Curious how you would characterize your conversations with Petrobras about reducing costs? And maybe a little more explicitly, do you see potential for any blend and extend contracts on any of the existing contracts? Or is it really on about reducing costs in other ways?
Simon Johnson: Doug, yes, look, I think at this stage, we're very early in those conversations with Petrobras. I think there's a couple of important points. We're very encouraged to see Petrobras seeking the expertise in the drillers to help identify efficiencies. I think both Petrobras and ourselves are focused on opportunities that will deliver win-win solutions. Both sides need to benefit from the discussions. We are certainly looking to trade value rather than give you lateral discounts and blend and extend is definitely one of the potential approaches. So we're open to that where it makes sense in terms of our contract portfolio and the visibility of backlog and so on and so forth. Petrobras, as you know, is a very important customer for us. We've had a long-term relationship in what's an international market. And ultimately, rigs flow to where the greatest earnings potential is. It's notable that Petrobras have drilled more high-impact exploration wells so far this year and 2025, more so than any other operator in the world. And that's really encouraging for future demand. So the key point here, I think, is that any cost cutting or blend and extend discussions, et cetera, that's not going to have any impact on the underlying rig demand. We believe that continues to be robust on a many years ahead outlook. So yes, I mean, we're entering into those discussions with good faith, and we think there's a possibility of both sides obtaining advantage through a frank discussion of opportunities.
Doug Becker: That sounds encouraging. And then, Simon, you appropriately highlighted the operational performance on a number of rigs. Economic utilization did slip sequentially in the third quarter. Just any rigs or regions to call out? And how do you see economic utilization trending going forward?
Simon Johnson: Yes, it was a little bit disappointing on the cost side there, and there's a reason for that, which, I mean, there's some comments in the press release and the Q that we filed, but we can add a little bit more color, too. And I'm joined here today with by Marcel Wieggers, who is our Senior Vice President of Operations, who can talk about one of the operational incidents that occurred during the quarter that has sort of led to a departure from what our regular run rate is.
Marcel Wieggers: Hello, Doug. So during the quarter, one of our rigs operating in Brazil experienced a downtime event caused by design-related equipment failure. This issue resulted in operational downtime and additional cost to rectify same and implement corrective measures. Learning from that event, we shared it across our fleet to prevent reoccurrence, of course. But in addition, we also proactively communicated these insights to our industry peers who operate some of our equipment to help them to mitigate this risk of similar failures in their operations. So if you look at our technical uptime for the quarter, if you exclude this rig, all the other rigs operated really well for the quarter with a technical uptime of 97.6%.
Simon Johnson: Yes. So we think it's a one-off, Doug, yes.
Operator: Our next question comes from the line of Josh Jayne from Daniel Energy Partners.
Joshua Jayne: First one was just on the Louisiana upgrades you talked about. I assume you wouldn't do those without line of sight into something further. So maybe you could just talk about those upgrades a bit more and how they change the outlook for the rig maybe over the course of the next 12 months or so.
Simon Johnson: Yes. In the Gulf of Mexico, there's -- that market has been quite dynamic in the semisubmersible segment. And a number of our competitors have retired rigs there recently. And what we are finding that we need to do in order to keep the Louisiana continuously busy, which we've been very successful in doing that. We've had to look at a couple of different modes of operation. And in particular, we've been getting quite aggressive in the plug and abandonment and the well intervention market. So what we're doing is we're making some discrete modifications to the rig, and we're setting up through an alliance-style partnership with Trendsetter, the ability to switch between drilling mode and well intervention and P&A mode. And the way -- as I say, that requires some discrete modifications to the rig. But most importantly, as you correctly allude to, Josh, it requires us to have confidence in that market segment and its prospectivity. But Samir will add some more color to what I'm sure.
Samir Ali: Yes. So I'd say, we're definitely getting more demand pull in this region, and especially in the U.S. Gulf with this combination of the Sevan Louisiana and the Trendsetter system. Given the Sevan's very unique capabilities, it positions her as a unique tool in this market -- in this region. So for us, we continue to see clients coming and asking for availability on that rig.
Joshua Jayne: And then on the Sonadrill rigs, congrats on the short-term extensions. Could you speak to the further outlook of those rigs? What exactly they're looking for with respect to signing the rigs up longer-term? And when they do get long-term contracts, any thought on the term that they're ultimately looking for?
Samir Ali: Yes, absolutely. So I'd say, in my prepared remarks, I kind of alluded to that we feel confident in our abilities to add some more term to the Quenguela's schedule. That remains the case. We're in active dialogue about how do we add more term also with the West Gemini. I'd say both of those rigs, primary market would be Angola, but the joint venture isn't limited just to Angola. We do have the ability to take those rigs to other parts of Africa as well. So for us, we are focused on keeping the rigs working in Angola, given it's a natural home for them, and you've seen production decline in that market, and there is an active effort by the Angolan government to reverse that production decline. So it's natural to stay there, but it doesn't have to.
Simon Johnson: Yes. We've seen subdued demand in Angola in recent times, Josh. But I think it's important to remember that 2 of the assets that are operated by the joint venture are directly owned by Sonangol. And when it comes time to be fed, they're ahead of the queue. And we're not concerned at all about long-term contracting opportunities for the rigs and the joint venture going forward.
Operator: Our last question comes from the line of Noel Parks from Tuohy Brothers.
Noel Parks: As I think about the last few months from last quarter report to maybe a month or so after as we were sort of wrapping up the summer, it does sound like those last couple of months that the generally more optimistic signs you were seeing have really sort of materialized and solidified. And I do recall some inkling of customers maybe being a little bit more willing to commit. And so I mean, is it just as simple as with the fastest of time, companies have gotten -- have finally just made decisions on their budgets, kept deepwater activity as a high priority. And I was also wondering if maybe looking ahead and contemplating more like Brent with a 6 handle than a 7 handle also made them feel like, yes, time to go back into the deepwater.
Simon Johnson: Yes. Look, it's a really interesting question, Noel. Look, perhaps what I can do is speak a little bit to the backdrop and then Samir can speak to what we're seeing at an industry level. I think the key thing is that despite some of the near-term macroeconomic headwinds around tariffs, oil supply demand, we are firmly of the view that the fog is beginning to lift. And we're seeing a lot of data points emerge now, which support our view, which we've been talking about for some time. And definitely, the tone and the tenor of the conversations we're having with customers is improving. FIDs are progressing, contracts have been awarded. We're seeing the rig days awarded in Q3 as a 7% quarter-on-quarter increase, and we believe that's going to increase again in the final quarter of this year. And that's supported by industry commentators like Westwood. And of course, Seadrill are well placed for a couple of opportunities in that period. We're at a 3-year trough in '24 for the value of the FIDs, but that's starting to flip now, and we're seeing quarter-on-quarter improvement. Subsea tree installations are forecast to be at the highest level at the end of this year. We know that there's this weak spot that we've spoke to earlier in the call in the first half of '26. But we see strong signs for improvement on a whole range of fronts beyond that. Investment in green renewable energy has been in constant decline since 2019. And all across the space, the supermajors are clearly stating that there's a return to conventional dispatchable energy. That's where they're spending their capital. But Samir, perhaps you can talk to some of the more focused elements.
Samir Ali: Sure. So I'd say that the Red Queen paradox is becoming real for a lot of our clients, right? You've seen reserve replacement ratios at 22% over the last 3 years. The general upswelling of reserve replacement exploration has become kind of the real topic that when we speak to clients, it is becoming a part of their normal daily discussions. You've seen all the supermajors on their recent earnings calls or public announcements saying, there needs to be more exploration. And that's leading to more rig demand for kind of generally the overall market. And we've tried to position ourselves to capture that upswing that we see coming in late 2026 and into 2027.
Noel Parks: And I guess the other thing I was wondering is sort of filling out the picture. I was thinking about the comments from Conoco and from Oxy. And are you also sort of seeing internally inside the bigger players things like signs of them staffing up or you're suddenly meeting with a new manager who wasn't there before or just signs of them reallocating resources to address the deepwater opportunity?
Simon Johnson: Well, we're seeing a number of different things. I think generally speaking, certainly, the big end of town, I think the supermajors are taking a cold hard look at their cost base generally. But we are definitely seeing certain of those supermajors build out exploration teams that either haven't received funding or have been greatly diminished in recent years. So I think it's -- there's a double story there. One is that they're focused on being more cost effective and trimming headcount. But certainly, in those areas that speak to new ventures, new opportunities, new exploration activity, that seems to be an area where they are willing to allocate capital. And we're seeing that. Just overnight, we're seeing the announcement of the Pakistan offshore oil licensing round, ExxonMobil are investing money in Greece. These are all healthy signs of a more normalized balance of expenditure between exploration and production. And that's been -- that's entirely consistent with the thesis that we've been sharing with the market now for several years.
Operator: Thank you, everyone. This concludes today's conference. You may now disconnect.